Operator: Hello and welcome to the second quarter earnings conference call for Amphenol Corporation. Following today’s presentation there will be a formal question-and-answer session. (Operator instructions) At the request of the company, today’s conference is being recorded and if you do have objections you may disconnect at this time. I would now like to introduce today’s conference host, Mr. Diana Reardon. Ma’am, you may begin.
Diana Reardon: Thank you. Good afternoon my name is Diana Reardon and I’m Amphenol’s CFO. I am here together with Martin Loeffler, our CEO and Adam Norwitt, our COO. We’d like to welcome everyone to our second quarter call. Q2 results were released this morning. I will provide some financial commentary on the quarter and Martin and Adam will give an overview of the business and current trends. We’ll then have a question-and-answer session. The company had a record second quarter exceeding the high end of the company’s guidance in both sales and earnings. Sales for the quarter were $847 million, up 23% in US dollars and 19% in local currencies over the second quarter of 2007 and from a sequential standpoint, up 10%. Organic sales growth, excluding acquisitions and currency effect in Q2 over the prior year was approximately 15%. During the quarter, the Company completed the acquisition of US manufacturer of audio interconnect products for the military market, with aggregate annual sales of approximately $14 million. We’re excited about the growth potential created by this acquisition. Breaking sales down into our two major components, the interconnect business which comprised 91% of our sales in the quarter, was up 25% compared to last year. Interconnect sales increased in all of the company’s end markets. And Martin and Adam will talk more about that in a few moments. Our cable business, which comprised 9% was up 7% from last year, primarily as a result of increases in international broadband cable television markets. Operation income for the quarter was strong at $168 million. Operating margins was 19.9% compared to 19.4% last year. The margin improvement relates to increased margins in the company’s interconnect business. From a segment standpoint in the cable segment margins were 11.5%, down from 12.7% in Q2 of ’07 and down sequentially. The margin reduction reflects a significant impact of higher material costs, primarily aluminum and plastics. A portion of which has been offset by price increases. The last of which was implemented at the beginning of this quarter. In the interconnect segment margins were 22.3%, up 60 basis points from last year. The achievement of these strong margins, given the current inflationary cost environment, is a significant accomplishment and reflects the company’s dual focus on driving strong top line growth of higher margin performance enhancing products. In addition to a very strong focus on all elements of cost. Our operating units around the world continue to work hard every day to keep our overall cost structure low, providing the company with increased flexibility in dealing with market conditions. Overall, we’re quite pleased with the company’s margin achievements. Interest expense for the quarter was $9.9 million compared to $9 million last year. The increase over the prior year relates primarily to higher average debt levels in the 2008 quarter reflecting borrowing to fund Q1 stock repurchases. Other expense was $2.2 million compared to $3.6 million last year. The decrease from last year reflects decreases in fees on the Company’s accounts receivable securitization program and higher interest income. Our effective tax rate in the quarter was 29.5%, the same effective tax rate as in the quarter and for the full year 2007. In the second quarter of 2007, the company’s effective tax rate was 30.5%. Net income was $110 million, approximately 13% of sales, a very strong performance on any industry comparative basis. Diluted earnings per share for the quarter of $0.61, was up 33% from last year. The company continues to be an excellent generator of cash. Cash flow from operations was $96 million in Q2. For the six months ending June 30, operating cash flow was approximately 99% of net income. The cash flow from operations along with $13 million in proceeds and tax benefits from option exercises were used to fund capital expenditures of $31 million. Acquisition related expenditures of $29 million relating to both the acquisition in June and the payment of liabilities relating to prior acquisitions. We reduced debt by $33 million in the quarter and paid $2.7 million in dividends. In addition, cash and short-term investments increased about $13 million to just under $200 million at the end of June. The balance sheet continues to be in good shape. Accounts receivable days sales outstanding were 69 days at the end of June, up three days from the end Q1 and at about the same level as at the end of 2007. Inventory increased about 4% from Q1 levels and inventory days came down, as we expected, to about 82 from 87 days at the end of March. Debt was $820 million at the end of June compared to $723 million at year end, reflecting borrowing to fund the stock buyback in the first quarter. Debt was down from a sequential standpoint by $33 million from the end of March. Our leverage and interest coverage ratios remained very strong at 1.2 times and 16 times, respectively. EBITDA in the quarter was $198 million and there was $170 million of availability under the company’s revolving credit facility. We continue to have about $85 million in receivables filled under our receivables securitization program at the end of June. Orders in the quarter were $840 million, a book to bill ratio of about 0.99 to 1 for the quarter, bringing the year-to-date book to bill ratio 1.02 to 1, the same ratio as last year. Certainly from a financial perspective it was an excellent quarter. Martin will now provide an overview of the business.
Martin Loeffler: Thank you very much, Diana, thank you all for joining our traditional call at the time when we release our earnings. Welcome. As always, I will highlight some of our achievements in the second quarter of 2008. Earlier in the second quarter we made an announcement relative to management succession and I will provide some additional comments on that point. Adam Norwitt is together with us here today again. He will discuss the trends and progress in the various markets that we serve and I will just summarize with our outlook for the third quarter and the full year 2008. Some highlights first of the second quarter. We’re extremely pleased with the second quarter results. They are very strong, reaching new records in sales and earnings. And I’m very pleased also, and the whole organization is pleased, to continue and to be able to continue the long-term trend of achieving industry leading growth and profitability. Sales increased a very strong 23% over the prior year, in the generally modest and somewhat lumpy demand environment. The growth was very broad based in all of our served markets. The strongest growth though was achieved in the global communications market, especially in the mobile device and mobile infrastructure markets. Also very strong, the military and commercial aircraft markets. We are also pleased that sequentially our sales increased a strong 10% over the first quarter in part due to the traditionally seasonality, but in part due also to share gains. And we believe that our share gains are really achieved through a strong focus and our continued strong focus on advanced technology, providing performance enhancing interconnect solutions to our customers across all of our served markets. We continue, also, to benefit from out diversity and our broad global presence and especially we are pleased that our investments and resources that we have brought into emerging geographies and markets are bringing good returns with strong contributions to our overall growth. Adam will talk about this in a little bit more detail. We continue also our acquisition strategy, the pipeline is good and healthy and we were able to complete one additional acquisition at the end of the second quarter, actually the end of June of 2008, and we are excited about this addition because it is one of the typical Amphenol acquisitions where we believe we get an extension of our product line in a market that is a target market for us, the military market. And in addition, we can add value to this small company with approximate at annual sales around $14 million in bringing them a much, much broader customer base. Not only North America, but on a worldwide basis. Their strengths in this audio connector, which is used in communications equipment in harsh environments, is going to help us to penetrate our customers even further. Profitability and cash flow also remained strong in the second quarter. Operating income margin, as Diana just mentioned, expanded to 19.9%, just a touch below the 20% mark that we are clearly aspiring to reach and we achieved that margin expansion clearly in a very difficult environment, in a difficult environment in so far as cost in all our areas is going up, whether it is wages, whether it’s transportation costs, whether it’s commodities, at the same time, customers continue to be relatively reluctant to accept price increases. However, we certainly work with our customers to try to achieve that on an ongoing basis. Our EPS increased a strong 33% over the prior year for a record $0.61 a share and cash flow remained strong with $96 million and we reinvested essentially that cash back into the business to fund our growth and expansion. We believe that the strong profitability is a direct result of our excellent operating leverage on incremental sales, as well as the focus on technology and the high value end of the spectrum of the market and on a continued living-the costs that we incur living in the sense of building scrutiny of all elements of cost to make sure that we have excellent productivity and flexibility in cost throughout the company. A brief word to the management succession plan that was announced just a few weeks ago, this management succession plan is certainly not a surprise to anyone and there is nothing else in the continuation of the evolution of the organization that we have engaged several years back when the company was growing, expanding and certainly need a strengthening of management and we continue on that path as we move forward for further growth. In this announcement, we said that Adam Norwitt, Amphenol’s current President and Chief Operating Officer, probably well-known to many of you already, will be appointed to Chief Executive Officer at the beginning of 2009. He will then become President and Chief Executive Officer of the company. He will also be appointed to the Board of Directors and we decided to increase the Board by two seats, with one additional outside independent Director joining our Board over the next several months. I myself will assume a newly created position, which we call the Executive Chairman, with particular emphasis on our strategic direction and the further development of our leadership team. This management succession clearly creates and ensures a smooth transition of management responsibility, which was several years back and it ensures a continuity in the pursuit of our strategic vision, to be the interconnect technology partner of our customers in the electronic market as a whole. We’re very pleased and I’m excited about that management transition which I can report to you since the announcement that it was very well received, obviously not unexpected within the company and very, very well received by our customer base across the world. With this I would like to pass on the word to Adam who will comment on the trends in various market segments.
Adam Norwitt: Thank you very much Martin. As Martin said, we are very pleased with our progress in the quarter and with the results of the quarter and in general in our served markets those results have been driven by three things. The focus on technology, as Martin said, our continued drive to create performance enhancing solutions for our customers, our end market diversification and importantly in this quarter, our geographical diversification and focus on emerging markets within those end markets. First the military aerospace market represented 20% of our sales in the quarter and in that market sales increased a very strong 24% over prior year. We’re very pleased to see that demand remains healthy, driven in part by the military equipment deployment and refurbishment of those equipment, including ground vehicles and new communication systems upgrades. As well, we see strength in the product for commercial aircraft with strong backlogs within our customers in the commercial aircraft market. We see continued broad program participation across all of these segments in the military aerospace market, continuing to drive growth in 2008 and beyond. As Martin mentioned, consistent with our strategy, the Nexus acquisition is accretive and has good management and creates a strong platform for growth in audio related products for the military aerospace segment. The next segment, industrial, represented 13% of our sales in the quarter. Sales in industrial increased 15% over prior year. In that market, we saw strong OEM program gains in power and oil and gas applications, which were partially offset by some moderation of demand in the North American market for industrial equipment. We continue to see a proliferation of imbedded electronics in industrial applications driving demand through 2008. We see strong markets in energy and as we see a transition of products moving from electrical to electronic interconnect, we feel optimistic about this market for the long term. The automotive market represented 9% of our sales in the quarter and sales increased 12% over prior year. While we expect a normal seasonal softness sequentially in Q3, we expect to offset a slowing in vehicle production with ramp ups of new products and new customers throughout the rest of this year. We’re very excited about the longer term outlook due to the increased electronic content in cars, including most notably our broad design wins in hybrid vehicles as well as the continued proliferation of electronics into multiple platforms of cars. In the broadband communication over hybrid fiber coax networks which represented 10% of our sales in the quarter, sales increased 11% over prior year. As Diana mentioned, we implemented a cable price increase of 7% to 8% in Q2 as well as additional surcharges at the quarter end to partially offset the effect of continuing material cost increases, which at this point show now signs of slowing. We expect demand in third quarter in this market to be stable and to be driven by strength in overseas markets as well as notably increasing high technology interconnect content, which we see in the broadband equipment in the head end of all of the MSOs; finally, by the continued success of new broadband services. We’re especially excited about the interconnect content and our ability to continue to enhance the performance of that content with innovative new interconnect solutions. The information technology and data communications market represented 24% of our sales in the quarter. Sales in that market increased a very strong 16% over prior year. This was driven by accelerating new customer and product ramp ups with our diversified customer base and a broader portfolio of products into those customers. We continue to build on our distinct competitive advantage of offering a complete interconnect system architecture into the wide variety of applications across this market. While we do see some moderation of demand in certain segments, we are very optimistic that our continued achievement of broad design wins with the new high-speed products gives us strong confidence for further expansion of our market position in this segment. We have worked for two years to gain broader position on the bills and materials through the acquisition of TCS and we start now to see the benefits of those efforts over that time period. The mobile networks market represented 13% of our sales in the quarter and in the market sales increased a very strong 36% over the prior year, in a market which still continues to have somewhat moderate growth. We’re benefiting in the market from strong demand and site installations, especially demand in emerging markets as well as from our broad presence on the higher volume, low cost space station platforms. We are able to sell into both those markets, installations and equipment, a broad array of products from around the world with Amphenol. We saw especially, strength in India and China in this quarter. While we do expect a seasonal moderation in the third quarter, we feel very good about subscriber growth and new data servers providing a good future outlook for mobile networks. There are new networks continuing to be built, high data content, and higher speeds required in those networks, which provide a great deal of optimism for the future. The mobile devices market represented 11% of our sales in the second quarter. We were very, very pleased with this market where sales increased a strong 50% over prior year. We continue to drive our growth with successful introduction of innovative new products. Our new products on the newest platforms of our customers are creating strong platforms for growth in the future on a broad variety of phone platforms. We’re excited about these new design wins, driving growth throughout 2008 and feel good about this market as we move into the second half. So in summary, again are diversification, geographically and market has created strong growth in the quarter and we feel very good about that progress. Now Martin will provide some comments on the outlook for the rest of 2008.
Martin Loeffler: Thank you Adam and obviously from the comments from Adam we can really just see that we continue to see strength in our business despite the generally very moderate demand environment. And we are very proud of our organization as we continue to execute well, achieve superior growth and profitability, in truly a challenging environment. I think, and we all believe, that in such an environment, Amphenol’s distinct competitive advantages will serve us well. These advantages were mentioned several times already; advance technology, our global presence worldwide, as well as our lean and flexible cost structure and our entrepreneurial management style. While general economic conditions are uncertain and while we still remain very alert to any changes in the general environment as well as in the specific markets that we serve, we’re very confident in our own ability and the ability of our organization to take advantage of the many opportunities that we see in front of us. Accordingly, we are raising our outlook for the full year 2008 and expect the following based on stable economic exchange rates. For the full year 2008, we expect sales in the range of $ 3,278,000,000 to $3,308,000,000, an increase of approximately 15% to 16%. I’d like to point out that this increase above the previous guidance that we had, takes into consideration not only the better performance in the second quarter but also a sequential increase of our sales in the second half over the first half. EPS for the year, we expect to be in the range of $2.34 to $2.38, and increase of approximately 21% to 23% over 2007. For the third quarter 2008, which is traditionally a seasonally slower quarter in the industry, we expect sales in the range of $825 to $840 million and EPS in the range of $0.59 to $0.61 a share. The high end of this EPS we would be at the same record level as in Q2 of 2008. In summary, we are very encouraged by our past achievements and excited about our potential to continue to create value. With this commentary from all three of here, I would like to open it for any questions that you may have.
Operator: (Operator instructions) Jim Suva, Citigroup
Jim Suva – Citigroup: Thank you and congratulations everyone for great results and outlook. The question I have and a quick follow-up. First of all on the question, for the Q3, we all know seasonally its a little bit slower growth than other quarters of the year. But, for the guidance it looks like they’re actually guiding towards a sequential negative or sequential decline from Q2, which I think was a little bit of a bigger decline. Are you just building in some more conservatism there or are some markets giving you little bit lower book to bills, or how should we think about that, which I think it’s been a long time since you’ve really had a negative sequential Q3.
Martin Loeffler: Well, every year is a little bit different and a traditional year for Amphenol, really tradition, go back in history, is that the first and the third quarters are somewhat slower quarters, where the third quarter is above the first quarter and that’s certainly what we are planning for, that the second and fourth quarter are usually the strong quarters and the fourth quarter is stronger as the second. And that’s what we are planning for as well. I know, as you do, that over the last two third quarters we were able to achieve certain better performances or at least the same level as Q2 or a little better. But that is certainly most of the time driven by certain seasonal strengths in the consumer driven areas, such as the mobile phones and so forth when they pre-produce like it was the case last year. That is certainly not something that we’re assuming this year, that there will be a flamboyant production in that area that overrides normal seasonality. So, this is just going back to basics and has nothing to do with caution or anything at that point in time and we’re very close. Especially, I want to point out, to get a slightly lower revenue level than the record Q2, the same income and EPS in our guidance is certainly an indication that we are very confident in our profitability and the opportunity to continue to create value.
Jim Suva – Citigroup: Great. Now the quick follow-up, can you comment about with election coming up in November, should the US exit the war or do some type of change there? How we should think about your footprint, which in military has been very strong. When that equipment comes back, should there be an exit there? Do we look at kind of a refurbishing or you have to rewire and refurbish equipment or how should we think about the magnitude of the election outcome and your footprint with military?
Martin Loeffler: That’s certainly a very important question. It’s a big market for us and Adam maybe you want to comment on this.
Adam Norwitt: Yes. No, obviously we see that if there was some change in the war strategy, there may some shift in spending priorities, however, we certainly see a lot of refurbishment spending and we have what we would consider pent-up demand on programs that over the last five years, we would have expected to see programs like Joint-Strike Fighter or others that we haven’t seen because of an allocation of spending towards the war. So, while we can’t necessarily predict what spending levels will be, we do see strength and the potential for demand into these larger programs that have been delayed.
Operator: Our next question comes from William Stein with Credit Suisse.
William Stein – Credit Suisse: Thanks. First I just want to clarify that last comment. Adam, are there any programs in that end market that represent more than 5% of sales? Anything that could potentially rollover anytime soon that we can see as the head wind as we exit ’08 and enter ’09?
Adam Norwitt: No, nothing, nothing is that material to us in any given program.
William Stein – Credit Suisse: Okay, great. And then Adam, also another one for you, obviously with the upcoming changing of your responsibilities, you have some big shoes to fill as Martin’s done a great job with the company. Can you give us an idea as to what we might expect to see under your leadership? Any meaningful or even more subtle changes in the company strategy? I’d love to hear about that.
Adam Norwitt: Thanks very much for the question. Well, I, look, I think our company has an excellent strategy and we have an excellent management team that’s not on this call today as well, who are running our operations around the world and I don’t see any necessity to change how we are doing things today. Over the years, obviously, we will continue to adapt the company to the environment that we’re in and as the environment changes; we’ll adapt the company to continue to do better than our competition in that environment. Also, very happy that Martin continues on as Executive Chairman and that will keep the continuity of the company as it continues this evolution for us. But I don’t see any need to on January 1, make any dramatic or even obvious changes to the company.
Operator: Our next question comes from Errol Rudman with Rudman Capital.
Errol Rudman – Rudman Capital: I was wondering if you could provide some more detail about the acquisition in terms of how much you paid and how it will fit in and what the margins are and growth opportunities and also I was hoping – first I’d like to just to congratulate and thank Martin very sincerely for the leadership and contribution that he’s made to Amphenol over the period of time. Adam, I wish you great luck and I hope the same level of success is carried in the future as occurred in the past. Which is, I a long lead-up to say, Martin can you outline in a little bit greater detail how you’re going to be spending your time now and maybe you could just amplify what you already said with a few extra words? Thank you.
Diana Reardon: Maybe just to take care of the acquisition in terms what was sent in the quarter, about half was related to the June acquisition and the rest of the sending related to liabilities associated with acquisitions that closed in prior quarters. As you probably know, we don’t get into discussion about margin and specific profitability levels on these small acquisitions, but we will just say that in most cases we’ve been able to grow both the top line and the profitability of most of these smaller acquisitions through their involvement in our worldwide sales force and also their involvement the low-cost capabilities we have around the world and Martin maybe you can answer the rest of the question.
Martin Loeffler: Errol thank you very much for your kind words, appreciate it very much and I’m sure Adam does the same and we will continue to work here as a team but it is very clear that as of 2009 Adam will take over the responsibility as Chief Executive Officer and thereby have the responsibility for the day to day business and the ongoing success of the company. I will clearly remain engaged with the company as an Officer of the company, but in a different fashion as I have been in the past and that’s expressed in just the simple words that I will continue to be engaged and channel strategic direction of the company that was very successful and we feel that there’s no need for changing it, actually building on it and that why I will support the team here as well as the development of the leadership team in Amphenol. I think as the company grows and as we have done very successfully over the last several years. I mean, the company has reached in second quarter of this year more than $800 million in sales. I remember in 1997, this was just 10 years ago, our annual sales reached for the first time, $800 million. So, I think it’s just portraying that we are a $3.3 billion company and our outlook four times as large. Obviously we had to develop a management team over that time and that is strong, that is deep, that is broad and I think this is some area that I will continue to focus on in my role as the Executive Chairman because as we go, eventually, to $5 billion and more, obviously the company’s resources in that area will have to grow and to develop and with our small leadership team here at headquarters with only 50 people, at headquarters around obviously I will make my contribution in those areas.
Operator: Brian White, Apollo Stuart.
Brian White – Apollo Stuart: I wondering, Martin, if you could talk a little bit some of the new programs that are ramping in the second half of the year?
Martin Loeffler: That’s a very fine question, there are a multitude of new programs per market segment that are ramping and maybe Adam, you want to make a few comments relative to certain segments where it is very important that these ramps really happen in that time period.
Adam Norwitt: Sure. Good afternoon, Brian. We see, certainly as Martin said, a real diversity of new programs that ramp throughout the year, including the second half and if you look at mobile phones as one example, we continue to see strength in new platforms of smart phones, as well as mid-range phones that utilize our high technology, slide hinges and antenna mechanisms. We feel very good about those ramp ups. We see ramp ups also in new energy equipment in the industrial market and we have ramp ups of onboard electronics in cars, just to name three. That are very important to the company and that we continue to monitor very closely.
Brian White – Apollo Stuart: Okay, thank you. And if you look at the hybrid vehicle market, a new programs ramping in 2009, could you just give us a little color on what you’ll be providing and how many different customers are you working with?
Adam Norwitt: The hybrid is an important market and we’re hopeful that those do start to ramp in 2009. Clearly every auto maker has a slightly different schedule as to when those technologies will be finalized and those schedules are at some level left to the whimsy of how successful they are at implementing the hybrid technologies. We are working with essentially all of the major OEMs those in Europe, those in North America, some in Asia, where we hope to gain penetration and what’s interesting about hybrids is the technology and the product technology that goes into the hybrid. It’s a different interconnect technology than you see in a traditional car, harsher environment and other aspects, and so we feel good that those are areas where Amphenol can create value and can leverage our high technology and our strong development in the past in harsh environments to be successful.
Brian White – Apollo Stuart: Okay, thank you.
Operator: Matt Sheerin, Thomas Weisel Partners.
Matt Sheerin – Thomas Weisel Partners: Thanks, good afternoon. I just have a question regarding the raw materials impact on your business. You mentioned the impact on the broadband cable business where margins came down a bit despite price increases. Can you discuss the impact on the core connector business? I know as a percentage of cogs materials are at a lower percentage but still it’s pretty significant. So, could you talk about price increases and success that you had and basically how you’ve been able to improve margins in that business despite that headwind?
Diana Reardon: Sure, I think that it is true that the material and raw commodity content on the interconnect site is certainly quite a bit less than it is on our cable business, but you’re right to say that it still is a very significant cost pressure and I think we dealt with it in a number of ways. Certainly price increases are a very important element and as you know, are easier in some markets to implement than they are in others, but we’ve had a very strong focus both at the operating unit level and at the executive management level in making sure that we are able to get the maximum from a pricing standpoint and that we charge an appropriate price for the value that we bring to customers with our product. It’s also been important to be creative from a material-usage standpoint in that we have had teams of our engineers focus on using less of certain materials and in some cases, we replacing certain materials that have just had dramatic increases in price that have been hard to offset purely through increases in sales prices. In addition to that, I think as you know, we focus everyday at all of our operating units on every element of cost, which includes those raw material. It also includes a strong focus on operating expenses and SG&A and these types of costs and I think that given the severity of the environment that we’ve been in for the past year, particularly in the last six months, I think that our operating units have just done a fantastic job in terms of just being able to manage through this and still create margin expansion in the business.
Matt Sheerin – Thomas Weisel Partners: Great. And then as a follow-up, I know that you’ve been very successful in continuing to move to lower labor cost regions, specifically recently in China. Could you talk about plans to expand into lower cost areas in China and other parts of Asia and what’s on the plate there?
Martin Loeffler: I think this is an important aspect and we as you know like to remain very dynamic and flexible in the sense of where we are going. So, we try not to have big roots in the ground towards any of our operations. Therefore, we keep them small. They have the opportunity to move and we have certainly not only done so already but have also additional plans, and maybe Adam you want to give some details.
Adam Norwitt: Yes, we are very cognizant of the changes that happened in China. We have moved some manufacturing towards Western China to our factories to (inaudible). I think we mentioned in the last call that we opened our third facility in India. We'll look for other areas as well. We'll look in Vietnam and we are considering also in North Africa, specifically in Tunisia. And we are excited about the potential in these areas. We also keep our eye open for the next area that can provide potential.
Matt Sheerin – Thomas Weisel Partners: Okay, thank you.
Operator: Our next question comes from Shawn Harrison from Longbow Research. Your line is open.
Shawn Harrison – Longbow Research: Hi, good afternoon. Just getting back to the third quarter and I think in the prepared remarks, it was mentioned normal seasonality in the automotive and networks business, but maybe if you could just provide a little bit more granularity in terms of what end markets may also be down sequentially?
Martin Loeffler: Well, obviously, we are talking about the $7 million difference on the $827 million situation. So, just taking these two mobile infrastructure market and the automotive market alone, that is not a lot of millions of dollars that require a change. So, we are certainly not that fine tuned to see every single seasonality ahead of time, especially in a market that is radically lumpy, in general relatively moderate in demand and you can have spikes and valleys. But, in aggregate, I just want to stress once again, we have a very strong outlook for the second half. It is sequentially up over the first half in an equivalent where when you read the press, you would think that our clouds are coming faster to view than they came in the first half. So, we certainly want to point out that we feel very confident about our technology, which brings also the element of margin all the time. If you develop a new product, you price it to a margin and a value that a customer wants for this particular equipment. We are always only talking about as we would be a commodity supplier only that lives only off of price. I mean, our technology is so important in order to drive margin as much as it is for top line. So, we feel actually good about the second half, even if growth rates relative to the first half may appear somewhat low on a year-over-year comparison, it is still a continuing of our sequential performance moving forward into the year 2009.
Shawn Harrison – Longbow Research: And I think maybe just your comments on new products as a good lead into my second question, which is you could hold earnings flat here sequentially on a decline in sales. Maybe how much of that is product mix being better or new products, how much of that is further pricing? I know a lot of your peers have recently introduced price increases through distribution. Can that type of sustained mix improvement occur in the fourth quarter as well if sales are flattish?
Martin Loeffler: Obviously, that's a very important question that you are raising and we have put a lot of thought into this margin situation because obviously we have headwinds and the headwind may even further strengthen with this material and other inflationary increases. But, as far as the mix is concerned, it is a combination of many things. It is hard to pinpoint just one, whether it is the new products, whether it is something. As the aggregate, between the technologies and the new products that we are introducing, some effect price increases that we have exercised throughout the first half. We will have also some bearing in the third quarter. Our price increases are not just, at a given point in time, across all of our markets, but there are some (inaudible) there's an element of it that will help us. We certainly have not increased our prices less than what our competitors have announced just recently. We do at the beginning of July. So, I mean, we are there as well with our pricing and we do this on an ongoing basis. In addition, the cost shift to lower costs that Adam just mentioned, also has some impact. So, it is a combination of all those factors that give us the confidence that even at a little bit, somewhat lower end – higher end of the guidance in revenues, we still can achieve these EPS numbers that meet the record of Q2.
Shawn Harrison – Longbow Research: Okay. Thank you very much and congratulations on the quarter.
Martin Loeffler: Thank you.
Operator: Our next question comes from Michael Walker with Arch Asset Management. Your line is open.
Michael Walker – Arch Asset Management: Thanks. Hey Martin, I was intrigued by that (inaudible) comment you made a couple of questions ago. I'll put that in my point and buy side model, (inaudible) people seeing it, but –
Martin Loeffler: Yes, well, I am smiling here too and saying I don't know how that goes. Stay on the table here, but I remember, many years ago, I talked to our internal organization. When we were $1 billion, we had to go to $4 billion, and I think we are well on the road to achieving it, even if at the time when I said that they all rolled their eyes and said, well, how do you get there. So, the $5 billion is not too far away from $3.3 billion.
Michael Walker – Arch Asset Management: That's good to know. I had a couple of questions for Diana on the margin line. The first was on the cable side. I'm unclear as to exactly when those price increases took place over the course of the quarter. And I guess I was a little surprised to the cable margin decline sequentially. And if that's a case of just this haven't kicked in yet, and we look for margins to kind of go back up in cable in September, or should we assume that the price increases on the supply side, the commodity side, are so strong that it is kind of overwhelming the price increases on the cable products. And the other question I had was, at the gross margin line, just noticing that it is kind of been bumping around in the range of 32.6% to 32.8% for last five quarters in a row. I guess I am wondering if for modeling purposes, we should think of that as being the range going forward.
Diana Reardon: Sure, okay. In terms of the cable margins, we had price increases that occurred at the beginning of Q2 in April. And then, as Adam mentioned, there were some additional surcharge related price increases that were put in place for the end of the quarter that those price increase in April being the – certainly bigger of the two. I think that when we spoke last quarter, we did have some expectation if material cost sort of held that we could see some margin expansion, but that didn't happen. We saw continued pressure on aluminum and particularly on plastics, as you know, during the quarter after an increase in Q1, increased again in Q2. And as you I think said just a few seconds ago, the price increases were just not enough to offset that. So, we did see a margin decline in the quarter. I wouldn't, I think, look for a significant change in margins necessarily going forward, unless we see some change in material trends. Certainly we would like to see another price increase, but we will have to see where that all goes. Relative to gross margins, I think you are correct that our gross margins as opposed to our operating margins have been within a range for the last few quarters. We have been able to expand operating income margins and we are very pleased to be able to do that in an extremely tough environment from a cost standpoint. I think that the gross margin expansion has certainly gotten more difficult in the current cost environment, but we continue to work hard both on price increases and actions on cost. I think that as we look out into the next two quarters, Q3 at the high end of guidance is relatively close to Q2, and so certainly wouldn't expect to see any significant margin expansion in that environment. I would think that margins may, say, within the range or slightly improved gross margins as we go through the rest of 2009 here. But I think that we certainly manage the business to operating income margins and I think we still see some opportunity for improvement in terms of the operating income line, as we would move into the fourth quarter where we have some higher volume also.
Operator: Our next question comes from Steven Fox with Merrill Lynch. Your line is open.
Steven Fox – Merrill Lynch: Hi, good afternoon, a couple of quick questions. On the mobile infrastructure and mobile device side, the growth was extremely strong, as you highlighted, and you mentioned a lot of reasons for that. Could you just sort of rank what was the biggest drivers in those two areas again, just to make sure I'm clear?
Martin Loeffler: Yes, I think, just if you look at those separately, if we look on the mobile devices side, clearly new program ramp ups was the core driver for us using our new technologies. On the mobile infrastructure side, emerging markets were very strong. We saw great strength in our site installation products. These are the interconnect products as well as the antenna products that go into cell sites. And we saw, and it probably ranked second, the strength in these low cost base station platforms. GSM demand continued to be strong in the quarter for us on those platforms where we have gained broad penetration with a complete suite of products into these new base station platforms.
Steven Fox – Merrill Lynch: And then, just to be specific on the mobile device side, which new technologies would you highlight as having the most impact?
Martin Loeffler: Yes, I mean, for us, we saw impact really on connectors, antennas and hinges. It would be very difficult for me to point to one and say that was really the driver. We feel very good about the complete presence that we had on these platforms.
Steven Fox – Merrill Lynch: Okay. And then, Diana, just a quick question on cash, it's at record levels right now. You guys have usually operated on a lot less cash balance on your balance sheet. What's the comfort – what is the level that you are comfortable operating with, and how much excess cash would you say is sitting on your balance sheet today?
Diana Reardon: Sure. I mean, we started to actually see I think back in 2006, we changed the repatriation plan in terms of not bringing back into the U.S. from low tax rate operations. And as a result of that, over time, we have begun to accumulate cash in those same places to use for acquisition program as we look for opportunities in Europe and Asia. And so, that cash is sitting in both places really waiting to be used for our acquisition pipeline, and it is not sitting in the U.S. to be predictive and that kind of thing. And this has allowed us to have a pretty significant reduction in our tax rate. It has also provided a national hedge for transactions that we would do in those regions. And so, the strategy I think is to continue to keep the cash there and continue to use that cash. As you know, the acquisitions tend to come in in lumps. We closed two deals at the end of the year in China and we used the cash there to fund those and used some cash in Europe to fund the acquisition that we did in the first quarter, and I think you will continue to see us use that cash for that purpose as we go forward.
Operator: Our next question comes from Carter Shoop with Deutsche Bank. Your line is open.
Carter Shoop – Deutsche Bank: Good afternoon. First question is on the auto market. I was hoping to try to better understand some of the upside potential we could see there from your increasing print in the hybrid market. Is this an end market that we could see double in size over the next three to four years?
Martin Loeffler: Yes, if you mean the total automotive market, I don't think that I could say that it would double. But, certainly, we see strength in hybrids. I don't know that you will see strong contribution from hybrid really in a full ramp phase until 2010 when those models come out. Most of the car manufacturers are signaling that that will be the year where they will have a full complement of hybrid cars. But we do expect to see some of these car models being released next year. And with the price of oil and thereby gasoline being what it is, there could be some acceleration of that. But I wouldn't really expect a meaningful full suite of the products until 2010.
Carter Shoop – Deutsche Bank: As a follow up, I wanted to talk about the acquisition pipeline. When you look at all of the potential targets right now in a pipeline, I was hoping for you to, A, quantify how many companies you are looking at, and then B, try to break them down into two buckets, one being a bucket with revenue of less than $150 million per year and then the other bucket being over $150 million in revenue per year.
Martin Loeffler: Well, thank you very much for that question. And obviously our pipeline is broad enough that ranges from very large ones that could potentially come on the market as we always say to those medium sizes that you are mentioning as well as the smaller ones and I don't think I have the numbers by heart here to say how many in each pockets are, but the pipeline consists of those and we are certainly looking at all of these opportunities as we go along as long as they remain accretive to the company, as long as they remain complementary and not require significant restructuring and overlaps that we couldn't manage and like to see in the company and we would like to see management – very talented management to join the company as well as we go there. And if we look for priorities, all of our markets, all of our seven markets that we really serve on a global basis, there is opportunity and some opportunity in the pipeline. So, also from saying where is the priority, again it will happen what it will happen because all of those areas are significant and open strategic opportunities for further expansion if we acquire those companies. We have certainly not the strategy just to acquire for revenue gains and just adding revenues. It is very important for us that the company adds value to Amphenol and we can add value to this company. That has been extremely fixed asset [ph] strategy for the company and that's a strategy that we intend to pursue as we move forward.
Operator: Our next question comes from Amit Daryanani from RBC Capital Markets.
Amit Daryanani – RBC Capital Markets: Thanks. Just a quick question on the auto segment again. It was up about 12%, 13%. Could you just talk about how much of it – how much it was up on a constant currency basis?
Diana Reardon: It was much smaller growth in a local currency basis on that.
Amit Daryanani – RBC Capital Markets: All right. Could you just tell us how much of the mil aero segment is doing by the commercial aerospace side? And do you guys have any exposure really to the aftermarket part of that business, aftermarket services and repair on the commercial side?
Diana Reardon: Sure. From a percentage standpoint, it is – mil aero in total is about 20% of sales, roughly 5% or so is commercial and Adam, if you want to answer the other question.
Adam Norwitt: Yes. I mean I think there is not such great exposure to this aftermarket and to the extent that they need their connectors, certainly we would sell them to distribution into that market, but that's not a meaningful part and we really look at new jetliner production.
Amit Daryanani – RBC Capital Markets: All right. And then if I look at the growth numbers that we have out right now. You guys have had really good growth in the first half. It has been 11% in Q1, 15% in Q2. But, if I kind of break the growth in the back half, it likes we are looking at 7% to 8% in line with the connector industry averages. Could you just talk about why are we seeing a degradation on a year-over-year organic growth basis in the back half of '08?
Martin Loeffler: It is a very fine question. First of all, we have maybe different views of the industry growth that you are referring to. Certainly, our growth in the second half is still in our belief significantly above the industry growth, that for the whole year I am very confident that we are looking at growing at the rate of the industry and I think this is a very strong performance, very much in line with the strategy that we have in the past. So, I think we should look at one thing here primarily, is the second half of this year there was a lot of question in our mind when we met and talked in January and February, we were cautious about it some ways when we first gave the guidance about those – about that part of the year. Even if we this uncertainty continuing in a macroeconomic sense, even if we see the headwinds on cost to continue, we are planning for a very strong second half of this year, even if year-over-year comparison may come out to those numbers that you just mentioned, but it is a very strong performance certainly from our perspective and certainly as far as year-over-year growth rates are concerned, above industry.
Amit Daryanani – RBC Capital Markets: Just to clarify, there is no FX contribution built into the back half, right?
Martin Loeffler: No, no. This is assuming that the exchange rates remain essentially constant.
Amit Daryanani – RBC Capital Markets: Perfect. Thanks a lot and congratulations on the quarter guys.
Martin Loeffler: Thank you very much.
Operator: Okay. I have one final question. William Stein with Credit Suisse, your line is open.
William Stein – Credit Suisse: Thanks. Just a follow up, can you guys talk a little bit about your geographic exposure within the automotive end market?
Martin Loeffler: That's a very a straightforward question here. We usually don't break down our market segments by geography but majority of our business is in Europe at this point in time, with the second one being in North America and really starting up in Asia at this point in time and seeing some penetration primarily through transfers of technology from Europe into the Asian countries.
William Stein – Credit Suisse: That's really helpful. Thank you.
Martin Loeffler: Thank you. With this, we would like to conclude our conference call and our earnings release of the second quarter. We thank you all for your interest, for your interesting questions and we will continue to be very closely updating you on the progress of our company. Thank you very much and good bye. Copyright policy: All transcripts on this site are the copyright of Seeking Alpha. However, we view them as an important resource for bloggers and journalists, and are excited to contribute to the democratization of financial information on the Internet. (Until now investors have had to pay thousands of dollars in subscription fees for transcripts.) So our reproduction policy is as follows: You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited. THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY'S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY'S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY'S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!